Operator: Hi, everyone. Welcome to our Third Quarter Earnings Call. Thank you so much for joining us. Our prepared remarks today are meant to build on the information in our shareholder letter, which was published at investor.axon.com after the market closed. So we hope you all had a chance to read that letter. During this call, we will discuss our business outlook and make forward-looking statements. Any forward-looking statements made today are pursuant to and within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. These comments are based on our predictions and expectations as of today and are not guarantees of future performance. All forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially and we discuss these risks in our SEC filings. Okay, every quarter we start you off with an earnings video and we do this so you can get -- so you look and feel for our business quarter-by-quarter. And so we're so excited this quarter we're going to double-click on our federal business, which is a very exciting expansion opportunity for us. So, last month, we had a great showing at the AUSA Conference, which is the Association of the United States Army Annual Conference. So we're going to play a video. We're going to take you there. It's about two minutes and then we'll turn it over to Rick. [Video Presentation]
Rick Smith: All right. Thank you, AJ, and great job to Richard and his team at AUSA. It's truly exciting to see the energy that our team brings to these events. I was on the ground at AUSA and I'm super excited about what Richard Coleman and our entire federal team is doing. Welcome everyone to our third quarter 2023 earnings call. It's great to be coming back to you with another fantastic quarter. We also celebrated the company's 30th anniversary in September. Let me take a big step back for a moment and reflect on our founding ethos and how that translates to today. We've just driven seven consecutive quarters of 30%-plus revenue growth while a growing profitability. And the formula has been very simple. First, we start by identifying a challenge or a problem that our customers face. Staying very close to our customers is part of our secret sauce. Every company says that, but we've institutionalized through frequent technology summits at our headquarters where we bring in a couple of dozen customers at a time to listen to them and to share with them our prototypes and ideas that might not even be products until 2025 or later. We also have an annual user conference. Our engineers go on ride-alongs and sit-alongs and we foster many other touch points with our customers. I cannot overstate the importance of calibrating research and development decisions off of direct customer feedback. When we develop alongside our customers, it helps us get it right on the big picture like moving towards robotics security, virtual reality, fused intelligence, for example, and also helps us get it right on the millions of small details and user experience decisions to create a delightful product for our customers. This should reassure you, our investors, that our investment decisions are sound. They are geared towards products that customers want and they've told us that they will buy and it's designed to drive growth for years to come. We also stay close to the forefront of the innovation curve. So we can identify how a technology can make things better, or fix problems entirely. This is how we were the first to evangelize cloud software to public safety in the early 2010s and why we believe we'll be first introducing generative AI tools in the 2020s. Our engineers are some of the best and brightest in technology. Like me, they are energized to go out and fix problems and they work hard at it. As a result, we end up with undeniably best-in-class product market fit. Strong relationships with our customers and employees who are motivated to partner with our customers to drive their success. Our growth today is driven by decisions we made five years ago. And while we enjoy an undeniable time advantage, while competitors are trying to catch up, we're now thinking five years ahead. We believe the R&D decisions we're making today will continue to drive growth for decades to come. And then, of course, we must execute on all fronts. So that's the formula, customer closeness, plus long-term vision, plus day-to-day execution, equals value-creation across the board, for the public, for Axon, for our employees and for our shareholders. It's a winning equation and we're excited about that decade ahead of us. Before I turn it over to Josh, I'd be remiss if I did not acknowledge the wake of escalating global events. These conflicts, wars, violence, and unspeakable acts, we're all seeing them today. We commiserate in the pain and suffering many people are facing around the world and because we are a globally connected company, the personal pain faced by our own employees and many of you listening to this call. Axon's mission, our mission is to protect life and we're focused on continuing to execute and grow that mission. You're up, Josh.
Josh Isner: Thanks a lot, Rick. Every quarter here at Axon, leaves me more impressed with our team. As Rick highlighted, we just reported our seventh consecutive quarter with over 30% top-line growth. This kind of growth does not happen automatically. It's fueled by our ability to drive value to our customers and the momentum we have built over many years. While I'm pleased with our results for the quarter, I'll share with you a few things that keep me confident in the long term. First, I'd like to share my vision of where we will execute over the next five-plus years. We mainly sell into four key customer categories; state and local, U.S. Federal, International, and Enterprise. Each of those has a different path for how we tackle go-to-market, yet the overarching way to think about Axon is we are building the operating system for public safety and security across the board. A few years ago, we would say that we envisioned every officer carrying a TASER device or an Axon body camera and having a seat on our software network. As we built out this network, the vision, as you can see it, is expanding, so that from when -- so that from when an officer first interacts with the civilian to when a case is adjudicated, we are powering that workflow from start to finish. We have the team and the capability and we're going to continue to challenge ourselves to execute on that vision. And we remain really excited about the opportunities that we're seeing in state and local. Agencies across the United States are facing growing challenges. They're understaffed, navigating increasing training requirements and have to do one of the most difficult jobs in the world every day. This segment remains our core and we are investing and delivering solutions to help our customers. We brought two new devices to market this year, invested in productivity-enhancing software features and relaunched a disruptive VR training portfolio. When I think about our mission to protect life and look at the inefficiencies in the existing training landscape today, I think VR can be one of our most exciting long-term opportunities. We're also spinning up more customers on our records product, getting TASER 10 in the hands of early adopters and ramping shipments of Axon Body 4. Something I find particularly encouraging is our new order book for TASER 10. I've talked about my excitement here for the past few quarters and even my expectations have been exceeded. Simply put, we have found product market fit very quickly and the credit goes to Rick and our TASER pillar team led by Pat Madden for driving tremendous early results. Orders for TASER 10 after three quarters have already surpassed the first six quarters of TASER 7 orders, even as I read that boggles my mind. That means three quarters in, our TASER 10 orders are pacing at over 4 times the order rate we saw for TASER 7. What is encouraging is our top three TASER 10 orders, each came from customers outside of our core state and local base, two being international customers and one in corrections. Another customer area that has me confident in our long-term strategy is our U.S. federal business, as you just saw in the video. Our products are meeting the needs in several applications for federal customers where safety goes beyond the traditional state and localities and expands into the global footprint of our military bases where we can help protect those who have chosen to protect us. Five of our top 10 deals booked in the quarter came from federal customers, growing from a base of essentially zero a few years ago. Finally, I will talk about the traction we are seeing internationally, which grew 52% in Q3. We think international is one of the largest opportunities in front of us today and we are evangelizing the cloud, higher in country heads in new markets and spending a lot of time growing our brand and presence overseas. We've got line-of-sight into a strong close to our year and we are building pipeline to support long-term growth. It's been an incredible journey and it's easy to look back at what we've accomplished so far, but we don't spend a lot of time on that stuff at Axon. We're onto the next play. Now, I will turn it over to Brittany to go through our financials in more details. Brittany?
Brittany Bagley: Thank you, Josh. We are pleased to report another strong quarter of top-line revenue growth and improving profitability in 2023. Q3 2022 was my first earnings call with Axon, and we were still talking about hitting an adjusted EBITDA dollar target. So watching the team move seamlessly the margins over-deliver and drop significantly more to the bottom line has been an exciting change that we're all proud of. I continue to be impressed each quarter by our team and the focus on operational excellence. We set hard expectations for ourselves and we exceeded them again in Q3. Our topline revenue grew 33% year-over-year and we saw adjusted EBITDA margins expand to 22.2%, which is 35% year-over-year growth. Software remains the largest driver of growth in our business with our cloud and services revenue growing 55% year-over-year. Our software business model remains a powerful growth engine. Our customers subscribe to a bundle of our products. And over time, we improved these products and delivered more new features and technology enhancements. Our strong software growth is tied to multiple drivers. We see growth from new customers, who sign new licenses and adopt feature add-ons. We also see many existing customers expanding their needs and growing with us over time. This is a result of our relentless focus on solving customer problems and driving innovation in the ecosystem as Rick discussed. You see that impact in our excellent net revenue retention rate of 122% and ARR growth of 54%. Axon cloud and services revenue is now 36% of total revenue, compared to 31% last year. We are also seeing our new hardware product launches drive growth in our business. TASER 10 grew more than 50% sequentially, representing healthy demand and our ability to scale to meet that demand. Axon Body 4 made up the majority of our body camera shipments in the quarter and drove our growth in devices along with continued strength in Fleet 3, supporting 45% annual growth in our sensors hardware business. Our third-quarter gross margin of 61.7% exceeded our expectations on a higher mix of software revenue. Relative to last year, we saw our margins mix down slightly on increased TASER 10 revenue, as well as increased revenue from sensors and professional services. We expect this impact to continue in Q4 with margins slightly below Q2 and Q3, on mix. Turning to operating expenses. We saw some leverage from both R&D and SG&A supporting expansion in our adjusted EBITDA margin. We continue to invest to ensure we are positioned for a multiyear growth opportunity and to support the continued scaling of our business. As I turn to our guidance, you will note our strengthening outlook on both revenue and adjusted EBITDA. We are pleased to increase our outlook again. We expect revenue for the fourth quarter to be in the range of $417 million to $420 million and fourth quarter adjusted EBITDA margin to be approximately 20%. Our Q4 guidance implies an increase in our full-year revenue outlook to approximately $1.55 billion or 30% growth year-over-year, which is up from our prior guidance of $1.51 billion to $1.53 billion or 27% to 29% growth. Our fourth quarter adjusted EBITDA margin guidance implies a full-year adjusted EBITDA margin expectation of approximately 20.8% or $322 million. This outlook is raised from our prior expectation of approximately 20% adjusted EBITDA margin for the full-year or $302 million to $306 million. Our increased revenue guidance factors and growing demand we are seeing across our product categories, including our premium bundle offerings and the successfully executed launches of TASER 10 and Axon Body 4. For 2024 and beyond, we remain confident in our ability to scale globally to unlock new customer segments and to introduce even more new products that drive highly profitable revenue growth. And with that, I would like to open it up to questions.
A - Andrea James: Thank you. Can we go into gallery view, please?
Unidentified Company Representative: [Technical Difficulty]
Andrea James: Let's take our first question from Keith Housum at Northcoast. Go ahead, Keith.
Keith Housum: Good morning -- good afternoon, guys. Appreciate it. In terms of your guidance for the fourth quarter, you know, level precision that we have traditionally not seen from you guys with the $417 million to $420 million, I guess, perhaps comment on what gives you the, I guess, the level-off of that level of precision today and then what has to happen in order for you guys to perhaps, you know, be at the top end or ups even exceed that guidance?
Brittany Bagley: I think a lot of what you're seeing is, we're just coming into our fourth quarter. And so there's only one quarter left in the year. As we look at that range in terms of what we're seeing on revenue, it just doesn't give a particularly wide range as you look back at the full year. So the look at the full year looks more precise and more tight based on what we're looking at for Q4. And then in terms of, you know, what we're baking in for Q4 or what we would need to see, it's really our, you know, estimate looking at our pipeline of customer deals we think we have in the quarter. We have good momentum, as you've seen across TASER 10, across Axon Body 4. And so we're factoring those in as we look at Q4, as well as, you know, we what we think we'll be able to do from a software standpoint. So again, it's the best guess. We don't always know what perfectly, but that's what we're looking at as we look at Q4 guidance.
Keith Housum: Great. I appreciate it. I'll turn it back over. Thanks.
Andrea James: Great, thanks. That's great. And if you are on this call, we've got you. So you can -- you don't have to put your hands up and we will be calling on you in the order that the random number generator selected. Okay, Trevor Walsh at JMP. You are up next.
Trevor Walsh: Great. Thanks, team, for taking my question. Rick, maybe for you or even Josh, feel free to jump in. So I know IACP is a pretty, you know, major event for you guys and large builder of pipeline. What were you just hearing from customers there in terms of, you know, priorities for them both kind of finishing out the year, but then looking into '24 and where you see budgets sort of going around either a particular product or just a particular use case of what there, you know, if there was anything that kind of stood out in terms of kind of what's top of mind for customers coming out of that event. Thanks.
Rick Smith: Let me start first. The thing that I heard there was most interesting this year was customers really embracing the full ecosystem. So if I go back maybe three years ago, as we were really scaling, I think we had some customers that were saying, well, jeez, you know, I don't know how much of my tech stack. I want to put with one vendor like you guys are getting to be a big part of our tech stack and what I heard this year was pretty universally customers not saying that but saying, you know, we can't wait to deploy dispatch, for example, and these are customers who've never seen what we're doing in dispatch and we're still in the early innings there. But the feedback was, we've had such good luck when we deploy products and technology from Axon. It all just works so well and the customer services is so good. So that was a really intriguing thing to me to feel that shift in dynamic where customers were just saying, you know, we've done enough of this now and it just works so well when we go with you. We -- I had several chiefs at pretty big cities say, I would love to just be able to run my whole department on Axon because I trust you guys will deliberate and it will be both excellent and we'll give me new capabilities, you know, that maybe I have even thought of yet. So that was really a positive general sentiment. Josh, you want to...
Josh Isner: Yes, I'd just add. I think, you know, it was an incredible combination of amazing reception around our newer products, specifically VR, TASER 10 and Axon Records. But then an equally awesome reception to kind of the early showcase products that have not hit the market yet, which gives us a lot of confidence going into the next couple of years here that the things that we will be rolling out have, you know, already, you know, the perception of really good product market fit and should have a lot of demand associated with them. Of course, we've got to do a lot on our end to execute well and to make sure we go all the way to the finish line on those products. But that's always a really exciting thing to see when what you're building resonates so clearly with our customers.
Rick Smith: The last one, I'd want to add in. Just to go into a little microcosm in terms of the detail was. I think this was the year that VR flipped from sort of conceptually interesting to ready for prime time. You know, we decided to wait for the all-in-one headsets. We didn't -- we did not, you know, want to push out a few years ago when installing VR meant room-based sensors and more complexity. We felt waiting for the all-in-ones was going to mean you could deploy a much greater scale. Now, that meant we had to do a lot of hardware development to make our TASER weapons work in a virtual world and, you know, some of the early things we tried were spaced around hand tracking just using motion sensors and to be honest, that was -- we were sort of getting feedback from our customers. It was pretty buggy. So we bit the bullet -- bit the bullet about 18 months ago to go all in on developing specialized hardware with the integrated infrared tracking lights, They're the same that are in the native HTC or Oculus controllers. And that has just gotten phenomenal customer feedback, where, oh my gosh, this just works, it's very accurate, it's no longer getting -- sort of buggy and needs to be recalibrated. So I think that was pretty exciting in terms of the near-term stuff that I think we've just had another product sort of crossover from that early developmental product market fit phase to where now it's just dialing it in, getting more hardware launched and scaling content.
Trevor Walsh: Great. Thanks, both, for the color, and congrats on a solid quarter. Appreciate the time.
Rick Smith: Thanks.
Andrea James: Thank you. And as I'm going down my list here, if you have video off as a courtesy, I'm not calling on you. So if you do want me to call on you, just come on video when you're ready to be called on. Joe Cardoso at JPMorgan. You're up next. Go ahead, Joe.
Joe Cardoso: Thanks for the question, guys. Yes. So maybe a couple questions rolled into one. You showed the video in the beginning and talked to the opportunity in federal space or the military space. Can you outline perhaps the drivers as to why this opportunity is materializing in a more material way nowadays? Maybe how large this opportunity could be for you guys and, you know, which offerings are really resonating with the military folks? Thanks.
Rick Smith: Yes, so, I would start out by saying what's resonating is our existing product suite, which has been more focused on like military policing and protecting basis. You know, this year, I think the -- I saw the light bulb click at AUSA. In previous years it felt like we were, maybe a little bit of an outsider company from, you know, from over in law enforcement that was coming into federal. This year it felt like we were home. The promotional video showing how you use live streaming cameras, counter drone, you know, TASER 10, all in an integrated way. Our vehicle-based, you know, fleet solutions, our partnership with Fusus on integrating multiple cameras from both, you know, partner agencies as well as existing agency, really resonated to where it just -- it felt like people saw what we could do in base security. What I'm really excited about for the future is, we want to get into combat operations. And, you know, you may first say, well, jeez, you know, if your mission is to protect life, why would you want to do that? Well, because I believe successful military operations in the future will be those that kill the least, right? We racked up a big body count in Vietnam, and it didn't work. We killed a lot of people in Iraq and Afghanistan. And the more people we killed, the less successful our mission was. You look at what's happening in the Middle East right now with Israel. You know, imagine if they had more precise drones and robotics that could be going into those tunnels rather than dropping 2000 pound bombs with tons of collateral damage. You know, we will stay true to our mission to protect life. And I think, look, when I wrote my book the End of Killing, I believe we were closer to the end of war than it turned out. I was tragically and catastrophically wrong. You are seeing what's happening in Ukraine. But I think, you know, I wrote, I believe, in our shareholder newsletter last year or so. Imagine if we had invested in counter-material drones that we could have provided to the Ukrainians, where those drones would go out with fully autonomous artificial intelligence, not to kill people, to avoid people, but to destroy equipment. You know, if you could have brought 150,000 Russians to have to walk home because we destroyed the treads and the barrels and the engines on their equipment, while minimizing human casualties, you know, we think about, we have plenty of lethality. We're not giving a lot of it to the Ukrainians because we're actually trying to toe the line of not over-escalating. And I believe that sort of general thought process, how do we deescalate the level of violence and death to accomplish our nation's priorities and those of other sort of civilized nations is a huge opportunity. And this year at AUSA, for the first time, I had some conversations with people in senior positions in the military and military development programs, and I got a different emotional reaction. Now that's going to be years off. But I think the message is starting to resonate. You know, no matter what the mission is, killing should always be a last resort, and we should put a lot more creativity into how we accomplish our mission while minimizing the loss of life.
Brittany Bagley: Just to follow up with some stats, you'll see some of these in the shareholder letter, but we have pegged the TAM, our total addressable market for federal at about $10 billion. And the other exciting fact we shared this quarter is that five of the top 10 deals we booked were in our federal business. And we've given a couple of examples of where we're getting really nice traction with federal customers. So the VA has gone live on Axon Records. The Department of Homeland Security has an IDIQ for our body-worn cameras and our software. The U.S. Army is renewing its TASER modernization program, and our first TASR contract with the US Federal government agency has been signed. So we're really seeing the momentum from the customers in the deals we're doing and in the bookings and think there's a pretty large opportunity out there just from an addressable market size to everything. Rick talked to.
Rick Smith: Totally and to speak to the timing a little bit, I think, you know, key, as you heard Josh talk about before, to our market expansion and our flywheel overall is this simple, you know, two-phase approach to every new market, which is, first, we earn the right to sell to a new class of customers by taking our existing products and tailoring them in the ways that are needed to make them resonate and have product market fit with that new customer segment while we build out that sales channel. And then once we've done that and have brought them into the fold as an existing customer segment we're strong with, then we've earned the right to go even bigger by building bespoke new products that are really tailored especially for that market segment. And that story is playing out resoundingly in federal. So over the last several years, we've made tons of investments in the background, laying pipe with things like FedRAMP Compliance, FedRAMP Moderate, then FedRAMP High, and IL4 and towards IL5, all of those sorts of things, as well as hundreds of small little adjustments to all of our core hardware and software products to make them viable and ready exactly for these federal customers. And a great example of that is the VA going nationally live with Axon Records this quarter. And then what you'll start to see over time that opens us up into more of that TAM as well in addition to selling more and more of our existing, you'll see us start to develop bespoke SKUs and product lines that are even more tailored just for federal.
Josh Isner: Yes, I want to come back on one last thing. I don't want my comment to be misinterpreted. When we, for example, say we want to drive down police shootings, we're not passing judgment on whether police are justified or not. And similarly, with what's happening in Gaza right now, I'm not passing any judgment about the appropriateness of the use of force. The fact is, I think what the Israelis are facing right now is in order to get the military targets they're going after. Those targets are embedded deeply in civilian. They're intentionally buried in civilian epicenters. And so if you could imagine a world where a modern military could go in and put everybody to sleep and then sort out the good people from the bad people without a loss of life, that would be an amazingly important capability. Now, of course, I'm doing the imaginary end state of putting people gently to sleep. But there are steps we can begin to think about being much more precise in ways that are certainly causing less collateral damage and less lethality. And those are problems that get us really excited, because I think we're seeing today's technology puts people in unwinnable situations with catastrophic outcomes. And we think, you know, us and other technologists need to give warfighters and police and everybody better tools to be able to do the legitimate jobs that governments need to do to protect their people without such, you know, technology just requires inflicting a lot of death.
Joseph Cardoso: No, makes sense. Rick, I appreciate all the color, guys. Thank you.
Andrea James: Thank you. Next, Will Power at Baird. You are up, Will.
Will Power: All right, great, thanks. Yes, I want to shift gears to international, another area where you saw nice growth in the quarter. It'd be great just to, you know, have you kind of unpacked, you know, what's driving that. And I'd be interested to know, is body camera, you know, four starting to help lead that? Is TASER 10 starting to lead that? What are the adoption trends look like there across the new products? And what are you kind of leading with in any particular geographic areas that are standing out for you?
Josh Isner: Sure. Nice to see you, Will. And thanks for the question. I would say, it's -- there's a couple kind of different threads to the story here. The first one is that in our Tier 1 markets, which we talk about a lot, the U.K., Canada and Australia, those markets were just seeing wider adoption of the Axon network. So it's not only about TASERs and body cams and Dems, it's about our DEMS, DEMS add-ons, and it's about Axon Fleet and Axon Interview Room and moving toward Axon Records. So we're really excited about just the proliferation of our products into those markets that mirror the U.S. most similarly. And then we've got, you know, essentially a number of other markets that are starting to adopt one Axon product for the first time. A lot of the momentum has been on the TASER side, but more recently, we're actually starting to see some really encouraging signs in a few European markets adopting the cloud for the first time. So the growth of our international business will really be driven by continued execution in the Tier 1 markets, but starting to see more, you know, historically, you know, rest of world markets start to look a lot more like those markets where, you know, they're adopting cloud, they're adopting TASER, they're using DEMS, they value body cameras and other, you know, wearables and camera technology. And just the combination of those things is really going to provide that, you know, foundation of growth for the international business. I still believe, you know, it's very possible, you know, over the next five to seven years that our international business could be rivaling our U.S. business in terms of bookings. And, you know, once we get to that point, feel really good about the revenue catching up over time. So that's really our focus right now, Will.
Rick Smith: Hey, Josh. One thing I'd like to add there is, it's sort of fun to watch the company develop where there's some really healthy internal competition. Our software started out really as an enabler for body cameras. And I remember, we got -- it's maybe five or six years ago, there was a rallying cry, like, we need our software to stand on its own. It's best in class. And so the country of Scotland, basically their biggest move with us was not even with body cameras. It was digital evidence management for their entire ecosystem. And they're not really even using our body cameras at scale. So each area of the business, it all works better together. But we're now seeing the level of maturity across each of the subsegments to where they're winning best in class on their own. And that gives us multiple ways to try to enter any new market.
Will Power: If I can maybe just follow up quickly. You know, international, you know, has been lumpier generally, I think, for you, all over a period of years, and yet it sounds like for your comments, you're seeing, you know, broader traction across a broader, you know, set of products. But how are you thinking about the broader pipeline internationally versus maybe where you were one or two years ago? That might provide confidence that this could be a more sustainable, you know, area of growth above the corporate average.
Josh Isner: Sure, yes. Our Head of International Sales, named Chris Kirby, is doing a really good job managing the team toward the out-year of pipeline. So the focus has really evolved from like, hey, what can we capture this quarter, this year, to how can we do that and build a pipeline three to four times the size of the goal next year to just make sure that there's a little more consistency there. So, you know, there'll always be some lumpiness, especially in years where we feel like we've got a lot of TASER momentum because of just the nature of the revenue recognition on TASER versus, you know, the SaaS products. And so, you know, if -- you know, if large international police forces are buying TASERs, you'll see some of those kind of lumpy one-time revenue events. But over the long term, you know, I think that's -- we're already starting to see that kind of balance out and that's, you know, buoyed by a foundation of video bookings and more video adoption.
Will Power: Thank you.
Andrea James: Mike Ng at Goldman Sachs. You're up next.
Mike Ng: Hey, good afternoon. Thank you very much for the question. Mine is just on Axon cloud and services. So it seems like we've seen two consecutive quarters of greater than $15 million quarter-on-quarter revenue growth. I was just wondering if you could expand a little bit about the key drivers of the strength. I know in the letter, you know, you talked a little bit about, you know, moving more towards premium software bundles, the growing install base, just any additional color that you could provide there would be great. And then is that a good way to think about Axon cloud and services growth going forward, kind of this teen sequential growth? Thank you.
Josh Isner: Sure. Yes, We're -- Mike, we're really glad you asked that question because, you know, that's one of the things we're most proud of here to see in the results is just this, you know, excitement around the Axon cloud suite of products. And, you know, the story here has been just multiple years of investment into new features, software add-ons, new enterprise software products, just finding product market fit and being rapidly adopted by our customer base. And ultimately, you know, more and more customers are buying our premium offerings, starting with the Officer Safety Plan and then going up to the Plus version of that and then the Premium version of that. And we've seen that the last couple of years, but now it's really starting to flow through into the revenue and the results. And so, you know, just, you know, more adoption of DEMS, more adoption of software add-ons, more adoption of Records management, more adoption of our standards product. And it's really exciting to see all that come together. Talked a lot about our flywheel of this idea that really, you know, OSP is the driver of that flywheel into new products and that's exactly what we're seeing right now. So really proud of our product team for doing a great job, you know, understanding where this, you know, where this platform evidence.com can take us and listening to our customers in terms of where they see value and then doing an incredible job building those products. And our sales team is doing a great job selling them on the back end. So things are aligning really, really nicely in the cloud business and we're really excited about it.
Brittany Bagley: From a modeling standpoint for all of you guys. The only thing I would add is we have historically guided you to take an average of, you know, the last six to eight quarters. And think about that as the size of the step up in that revenue. I think because of this impact that Josh talked about of more and more customers moving to our premium bundles, the size of that step will start to get bigger every quarter. It probably won't be as big as it was this quarter, though, because you are seeing some of the benefit of the Fleet 3 installations start to turn on and come into that. So while there was nothing, you know, one time this quarter, you are seeing Fleet 3 come in. But I think we're also comfortable saying that because of premium, we are going to see slightly larger steps up each quarter in software than we have historically averaged out.
Mike Ng: Wonderful. And maybe if I could just have a quick follow-up. You know, if we assume a kind of continued step up in that cloud revenue, you know, is there something that's offsetting that as you think about the consolidated revenue guidance for the fourth quarter on the product side? Thanks, Brittany. Thanks, Josh.
Brittany Bagley: Yes. So I would say I think the step up in software is particularly large this quarter. So I don't think there's anything offsetting it. As you look at Q4, you know, we're putting forth pretty healthy growth year-over-year, 24% to 25%. That's on top of a Q4 quarter last year that grew about 55%. So I think it's still a very healthy guide that is taking into account the premium software piece. AB4, TASER 10, all the momentum we're seeing.
Mike Ng: Wonderful. Thanks for the follow-up. Brittany.
Brittany Bagley: Of course.
Andrea James: Hey, Jonathan Ho at William Blair, go ahead.
Jonathan Ho: Hi, congrats on the strong quarter. Can you help us understand what some of the main components were that drove the 122% net retention growth this quarter?
Rick Smith: Sure. Hey, look, it always helps when you have new products that people want to buy. Like, that's the underlying, you know, thing there is, you know, again, this goes back to our product team really doing a fantastic job just building new value into evidence.com with new -- with these, you know, new software features that save legitimate time every police officer shift. And so when we can keep showing that type of ROI, every conversation on a renewal or an upsell is not only, you know, a -- driven by satisfaction with what the customer already has, but it's driven by interest in what we're doing next and how they can participate in that. And so when you have that combination, we have a very, very talented customer success organization that, you know, really drives deep relationships with our customers. The -- and any, you know, a side note, any account that is managed by a customer success manager at Axon, their NPS score is 81 right now. So that's, you know, an off the charts high number when you think about the range of NPS going from negative 100 to 100. And so that just shows the type of trust these customers have built in our customer success team, our product team, our sales team, so forth. And so, you know, all those things being true, it actually is, you know, it just comes down to execution in terms of, you know, sales and account management to get these deals across the finish line. And we see ARPUs going up as a result. And then NRR, you know, is also rising as a result of that.
Jonathan Ho: Great. And then in terms of the DHS and U.S. federal government contracts that you've signed, is there potentially a halo effect here? Meaning, you know, does this help you sell to other federal law enforcement agencies or international agencies, you know, that maybe look up to these, you know, federal and defense contracts? Thank you.
Josh Isner: Sure, I'd say within the federal government, there's certainly a network effect there. No question. You know, once we've started with being FedRAMP authorized, that was kind of a big breakthrough for us. And then, you know, Impact level 5, et cetera, just all the kind of table stakes, clearances that our products needed to achieve. And then, you know, once, you know, the Customs and Border Protection has been a really great customer of ours. We heavily value that relationship. And having a lot of momentum there has just kind of permeated out into other branches of the federal civilian space. Rick talked about the opportunity in the military as well. I think there is something there to leveraging our success federally into other international governments. That's happening a little bit here and there, but there is potential that that could accelerate. So, yes, I'm really pleased to see, you know, the types of network effects we've seen in the federal space.
Andrea James: Meta Marshall at Morgan Stanley. Go ahead, Meta.
Meta Marshall: Great, thanks. And congrats on the quarter. Maybe just as a first question, just in terms of kind of the increase, ways that you guys plan to use AI and automation, just where are kind of customer conversations on just ways in which they want to see you incorporate some of these features, ways in which, you know, they just kind of want to get their heads around some of that. And then just maybe as a second question for you, Brittany, you know, gross margins obviously took a small step down quarter-on-quarter, but were better than expected. Is that -- some of that just from kind of the scale, or is some of that just the ramp of Fleet 10 just kind of having smaller headwinds than expected? Thanks.
Rick Smith: Let me start with the AI question, and we're going to be a little cagey here. I will tell you, at IACP, I was showcasing a prototype, a functioning prototype of an AI-powered service, and it got, if not the strongest, one of the most positive, strongest reactions I've ever seen in a product. Obviously, we have a ton of data that we could be running AI on. The art of this is to figure out where can we create maximum customer value while mitigating the risks that are associated, you know, with what can go wrong in AI. And we think we found at least one very powerful use case. But I'm not going to give any more details for competitive reasons, but stay tuned. Exciting times ahead.
Brittany Bagley: Okay. Which leaves us with gross margins? So I would say gross margins were better than expected, really, on the incredibly strong software performance in the quarter. So our software business is gross margin accretive for us. And so the more we build up there, the better overall impact for our gross margin. So I would drive most of the outperformance there. As I think about, you know, why was it down, you know, still a bit year-over-year or quarter-over-quarter? That's really just on mix of our sensors business and the fact that our sensors business also performed incredibly well and the fact that our TASER 10 is also performing quite well. Our TASER margins overall improved quarter-over-quarter, but the mix in there of TASER 10 was quite high.
Andrea James: Yes. Thank you, Meta. Josh Reilly at Needham. You're up.
Josh Reilly: All right. Thanks for taking my questions. In terms of the Department of Veterans Affairs Records win, can you just discuss what some of the factors were in that win? That's obviously a very large deployment. Curious if your openness to third-party or best-of-breed modules was a factor in that one.
Rick Smith: Josh, thanks for the question. And to answer directly, no, that wasn't a big driver. Instead, it was just this connected story around digital evidence in reporting. And that we think is consistent across pretty much every customer interested in Axon Records, which is they just see this link where, hey, if you have the video and you see what happened in the video, like what effect does that have on the ability to write a police report, you know, easily in a scalable and simple way. And so, you know, going back, you know, Brian Wheeler, we've talked about from time to time in terms of his leadership of our records product and his team just continues to perform very well in that regard. And our customers are seeing the value. And then, you know, like we mentioned before, having a FedRAMP-authorized cloud RMS product just aids in the momentum there. So it's really a combination of those things all coming together.
Josh Isner: There are two other things, I would add. One is just the customer relationship, namely, as they deployed our evidence.com and our other products, they just had a great experience that they shared with us was just different than they had with previous technology. So that set us up for the win. Then the other piece I would say is, we made a decision years ago when we are building records that we were not going to go try to win in RFPs for Record systems because we believe that's a recipe for building bad software. If you go build, you know, 800 checkboxes that all the great on the paper report you submit for the RFP, you're going to build a lot of breadth and there's almost no reward for good user experience. And we structured a lot of our go-to-market around how do we win in the hands of the user and set this up where we can build great software that does the most important things really, really, really well and then integrate other systems to handle sort of the fringes and the breadth of it. And I think that was a, you know, pretty important here where what we were able to show them was a functional system that they could test out and go, wow, this just works great in the hands of the user because we spent the time to build it that way, you know, bringing in people with consumer backgrounds that are used to building UI. That's got to be super intuitive, not built to a large government spec document. No offense to government, you know, procurement specifications, but there's a reason government spec software is typically not great, and that's because, you know, you're building it to very large specs. And in there, there's typically not a real easy way to quantify the user experience. And we focus on user experience first and then identifying which of those specs are the really important ones to the people actually using it. And I think that philosophy, we did not expect to win a federal agency this early in Records lifecycle. So it was a really pleasant surprise.
Josh Reilly: Got it. And then just to follow-up on the profitability piece. You've done a really nice job of managing profitability and higher margins over the last year. As we see this, you know, the growth opportunity in terms of revenue appears sustainable even in this kind of challenging macro. Should we expect additional hiring over the coming quarters, or can you manage the growth in business with kind of the current headcount, which would imply more operating leverages coming? Thank you.
Brittany Bagley: I think a bit of both. So we're absolutely going to keep hiring. I think, first of all, our stated goal in R&D is to invest basically top-line growth back into R&D. You can hear all of the exciting things that even with what we're doing, we still feel like we can work on and we have in front of us. And so there's going to continue to be a very robust pace of hiring from an R&D standpoint. Again, we won't get ahead of our revenue growth, but we're really investing there. Then on the SG&A side, we will absolutely get leverage in SG&A, but we can't do what we need to do with flat headcount from where we are today. We do need to continue to invest. Some of that is in sales, but honestly, a lot of that is really on the G&A side as we, you know, figure out how we can get this company to support the level of top-line growth that we're delivering on. You know, better IT systems, get our material weakness remediated, do a lot of that housekeeping that hopefully we very much keep in the background and you don't see, but will overfire investment to deliver nicely on all of these opportunities in front of us. And will give you some leverage too, because we still have our 25% adjusted EBITDA margin target out there. So hopefully this year shows that we can deliver and head towards that. And you all believe us that we're going to hit that. But there is a balance to do between here and there.
Josh Isner: And of course, world-class tech recruiting requires world-class tech recruiters. So that's also part of that fun picture.
Josh Reilly: Awesome. Thanks, guys.
Andrea James: Awesome. I want to respect Jeremy Hamblin at Craig-Hallum. We haven't called on you. You've been off video. Do you want to ask a question? I know people are juggling multiple earnings calls and does anybody have any follow-ups? Oh, no, we've got Jeremy. Jeremy, go ahead, you're up.
Jeremy Hamblin: Yes, Hey, thanks. And yes, juggling calls here. You know, I wanted to and apologies if you've gone through this a little bit already, but I wanted to come back into the Fleet product just to understand, you know, where we are in terms of, you know, it looks like you've really continued to gain share in that product and, you know, in terms of where we go in the platform and tying that in, you know, more holistically with, you know, some of the things you're trying to do on the AI side of the business as we move, you know, a couple of, let's say, years down the road. You know, I wanted to just understand in terms of where you think about the TAM on that portion of the business and whether or not just the total value of what the Fleet business is changed from where it might have been a couple of years ago.
Rick Smith: Well, let me start on this one. This is one where I was just wrong. I assumed that body cameras would obsolete in car cameras. And I believed that once body cameras became ubiquitous, there would be less reason to have cameras in a car. And that's one where just I was wrong. And what I learned was that, you know, customers who've had in car cameras want to keep that perspective, especially state highway patrols, where a lot happens in front of the vehicle, and the availability of extra battery power and the ability to put more sensors to be able to do things like license plate reading, which, you know, would be not possible given the battery constraints in the body camera. So I'm happy to have been wrong and had, you know, people who together with our customers who educated me on that, to where now we have a sizable, and I think the market leading Fleet product, and we're finding other areas, you know, in some adjacent markets, and ambulances and EMS, I think even in the military, you know, starting with vehicles that are more like military policing vehicles. But over time, the array of capability and our ability to move at sort of commercial speed to bring AI and sensor capabilities, I think there could be opportunities for us to move up the value chain from just sort of policing vehicles into other types of vehicles where we can integrate our network, all of our workflow together with our sensor development, and of course, in the future, AI running on all that data. So I don't know that I could give an exact like TAM comparison between the two, but I would say that the vehicle Fleet business is certainly here to stay, and it just -- it has different needs and requirements, and you can do more when you've got, you know, access to power and a little more space to be able to put more equipment and more powerful sensors.
Jeremy Hamblin: Yes, no, that's to the crux of the question. And then just a follow-up also on comment that Brittany had made. You know, in terms of the cloud portion of the business and thinking about these slightly larger jumps that we're going to see in that business. Just wanted to understand, in terms of thinking a year, two years down the road on your gross margins given what you're generating on that portion of the business and the bigger jumps, is that something that we should expect the model to iterate as we drive towards 25% EBITDA margins, is that going to be a decent portion of what gets us there?
Brittany Bagley: You know, we haven't given any commentary on how we get to that 25% between gross margins and OpEx leverage, other than to say, you know, we're obviously looking really closely at both of them. I think for as much as software is a benefit to our overall gross margins, you also see incredible success in our sensors business, and that's a drag on gross margins. I'd still take all the growth we get from there. And to your question, on Fleet, you know, right now, that's part of our $9 billion camera TAM. But I think we still feel like we've got nice penetration opportunities and good runway in front of us on Fleet still. We've talked a little bit about how we were playing catch up this year and next year will normalize a bit. But it's really some of those mixed dynamics that we're going to be working on as we balance between gross margin and OpEx leverage. I think the last thing we've been focused on is improving our overall TASER gross margins as we continue to leverage and scale TASER 10. So we've got a couple of benefits to gross margin over the next couple of years, and then we just have to balance that out with mix, if that makes sense.
Jeremy Hamblin: Yes, absolutely. Thanks for taking the questions.
Andrea James: Thank you.
Brittany Bagley: Of course.
Andrea James: Thank you. One more from Jonathan Ho at William Blair, and then we will close out.
Jonathan Ho: Thank you. Just one final question for me. Just given the TASER 10 strengths that you referenced on the call, you know, have you been able to shift to the demand or is there, you know, potentially an accumulation of backlog here as well? Thank you.
Rick Smith: Go ahead, Brittany.
Brittany Bagley: I was going to say it's a great question. We are working really hard to ramp our capacity, but I think you can see from some of the growth numbers and some of what we have been delivering that we're doing a nice job getting our capacity ramped up. As we continue to go into next year, what we're really working on is getting more of that capacity automated.
Andrea James: Great. Okay, pregnant pause. All right, Rick, go ahead and close this out.
Rick Smith: All right, before we sign off, I want to take a moment to acknowledge and thank you, Andrea James. This is going to be Andrea's last quarterly earnings call with us here on Zoom. So after a fast-paced and transformative six years with Axon, leading investor relations, Strategy and Communication, AJ is going to take some time to reset and enjoy the fruits of the success that she's had and has driven here at Axon. AJ has been one of my closest personal advisors. And so as we got to the end of the last XSP and we had some conversations about life and the future, I remembered one of my favorite quotes from Ray Kurzweil, the most important decisions we make are how we spend our time. And back around 2013, when my kids were in preschool, I had the wonderful opportunity to go spend a year in Europe and walk my kids to kindergarten every day And talking with AJ about her budding and growing family, I couldn't disagree with the assessment that how she spends her time might be to take advantage of some of the success from Axon. So we talked about her doing advisory and board work, given the amazing experience she's had at Tesla and here at Axon. So I'll be keeping on speed dial. AJ, and, you know, just very personally and professionally grateful to have you a colleague and a friend and want to acknowledge your great service towards our mission. I know you've -- she's also formed relationships with so many of you and it's not fully goodbye. She'll continue to support us behind the scenes in an advisory role into at least the middle of next year to ensure a smooth transition. And we are thrilled that Erik joined us earlier this year to help -- to lead our IR efforts. He's really hit the ground running, He is really there to catch the baton from one of the greats. And having been an analyst in our industry for several years, Erik, that is before joining Axon. And with that, I want to thank all of you for joining. We're proud of our team's execution. We're confident in our profitable growth. We look forward to a strong finish to the year. I wish you all a happy and wonderful holiday season. I hope the world finds more peace and we will see you all in February.